Operator: Good afternoon, everyone. Thank you for waiting. Welcome to Cemig's First Quarter 2025 Earnings Video Conference Call. Should you need simultaneous interpretation, the feature is available on this platform. Just click on the globe icon located on the bottom of the screen and choose interpretation. Then, select the language of your choice, Portuguese or English. Should you choose to follow the call in English, you may also select mute original audio to mute the Portuguese original audio on the back. This video conference is being recorded and will be available on the company's IR website, ri.cemig.com.br. Or, you'll also find the full package on our earnings call. You can also download the company's presentation via the chat icon in Portuguese or in English. During the company's presentation, all participants will have their microphones muted. After the presentation, we will start the Q&A session. [Operator Instructions] So, now we would like to turn the floor to Carolina Senna, Cemig's IR Superintendent. Carolina, the floor is yours.
Carolina Senna: Good morning, everyone. I am Carolina Senna, Cemig's Investor Relations Superintendent. We start now the first quarter 2025 earnings video conference call. And with us, we have Reynaldo Passanezi Filho, our CEO; Andrea Marques de Almeida, CFO and IR officer; Cristiana Maria Fortini Pinto e Silva, Chief Legal Officer; Marco da Camino Ancona Lopez Soligo, Chief Generation and Transmission Officer; Sergio Lopes Cabral, Chief Commercialization Officer; Marney Tadeu Antunes, Chief Distribution Officer; and Luis Claudio Correa Villani, Chief Information Officer. For the initial remarks, I would like to turn the floor to our CEO, Reynaldo Passanezi Filho.
Reynaldo Passanezi Filho: Good morning, everyone. Welcome to our earnings call for the first quarter of 2025, another quarter where we post, as you can see here, resilience and results; sound results. Of course, we had some impacts in our trading company. Andrea will go into the details. But it is important to highlight that we had an EBITDA of BRL1.8 billion, very significant EBITDA. Also, with positive results in all of the segments, exception made to the trading company, also net profit of BRL1 billion. We are paying dividends here, interest on equity of BRL541 million. Also, a very significant event to finance our investment program are the ventures, BRL5 billion and the ventures. But what I would like to highlight here is, our mantras, our direction. For me, it is to carry out the largest investment program in the company's history. We will see our CapEx, the investment program. It is still ramping up. We have grown 6x our investments since 2018. This is really a significant figure. We went from BRL950 million of investments in 2018 to BRL5.700 billion in 2024, and we have a forecast reaching BRL6.3 billion in 2025, and this is what we are showing investments growing 18% from 2024 to 2025. As all of you know, these investments will mature in the tariff review, and then we will be able the financial results of these investments after the tariff review, which is going to happen in 2028. And it is very important to understand the characteristic of these investments. Most of them, over 75% is dedicated to network, to infrastructure. We are talking about investments in distribution, transmission, and also in gas. All of that involves network development. And this is a topic that is currently being discussed. If you follow the energy transition, you see that investments in network is crucial for this energy transition. So, one-third of energy's investments is on a network, and this is what we are bringing to you here. 75% of our investments is dedicated to infrastructure and network. As you all know, this is a regulated investment with a profitability that is guaranteed. Therefore, it provides great stability to the company. Our second mantra, which is also very important is efficiency. Here, we have well, our first mantra is focus in Minas Gerais and when and Minas Gerais. This is very important. And these investments are in areas where we know and sectors that we know about regulated sectors, and they have results, stability, as well as profitability. The profitability is guaranteed. The second mantra is efficiency. So, we move on within the regulatory standards guaranteeing cash generation. So, we are within our regulatory losses. We are compliant with the regulatory expenses that we call regulatory PMSO. Therefore, everything that is in the tariff, we are complying with the expenses, and we can have cash generation to finance all this investment plan. We are not using our cash with expenses or with regulatory losses or losses above the regulatory metrics. So, the first mantra, once again is to focus in Minas Gerais and when to following this investment program, it's very important to stress that this investment program is all contracted in addition to being in regulated sectors. We can say that we have a lot to follow here in this growth process because today, it's already contracted. We know that it takes a while to start moving, but it is already there. It's contracted. The second mantra then is efficiency. We will always be focusing on that. This is in our objectives and we do intend to be within the regulatory expenses and losses. We are also working on an organization restructuring already, looking for more efficiency and being closer to clients. Maybe this would be our third topic here, which is working, with efficiency and being closer to clients as well as improving the results and all the results metrics such as [CAIDI and CAIPI] (ph), and the results with clients, which is the distribution regionalization. This is a very important topic. We had a company that was very centralized in the past. And today, we have developed. We have created six regional areas and 17 regional high-voltage management units. And here we are talking about Uberlândia, Montes Claros, Governador Valadares, Juiz de Fora, [Poso Levi] (ph), and obviously, the Metro region, Belo Horizonte. So, what was centralized in Belo Horizonte in the past now is divided in six regional management units or regional superintendencies. They are larger than other concessions in some cases considering the size of the state. And we have this purpose here with the superintendents is we want to be closer to clients to see what are the challenges and the different areas. And now, so we are aiming for more efficiency because being closer to clients allows us to see possible optimization situations. We are already realizing how much of these new regional units and I congratulate all of those that have taken up these new positions. And our Distribution Officer can talk more about that. But we can see that there is a clear objective or greater integration in the areas, more efficiency of physical spaces, always aiming for greater efficiency. And also we have Cemig Agro, which is a very important topic that goes together with investments. Agribusiness is one of the main growth drivers of Minas Gerais' economy. And for us, it is very important to work driving up the agribusiness with investments, and that's what we call Mina's three phase. And also with a more efficient operation, improving service quality and providing greater agility in service. And this is what we are adding here with this reinforcement of our teams with several new units with 228 new electricians. And the objective here is very clear. We are looking for greater proximity with our clients. It's very important to follow these mantras. The first one is focus in Minas Gerais and win in Minas Gerais with prudent and cautious investment plan, but at the same time, a very bold one and always aim for our efficiency metrics, the regulatory ones, and also with metrics that are better than the regulatory ones and to improve our service to clients. And I would like to include another one, which is innovation and modernization. And talking about restructuring, the company, we have here this development of the regionalization. And also we have an IT area. I would like to congratulate Luis Claudio Villani, our new Chief Information Officer. And this shows how much we are investing in terms of more innovation and modernization. We are bringing in a new ADMS, a new SAP S4/HANA with great advancements in digitization. This will improve our integration between IT and OT and will bring us more simplification in processes, therefore providing more efficiency and service quality. When we talk about IT, we have a wonderful situation, right? We can be more efficient and also we can improve our service providing because it's not always like that. So, welcome, Villani. And that's what I say. These are the mantras. These are the topics we have always to stress, and they are our guidelines. They are our strategy, and it this is a strategy that is consolidating itself over the past years and this transformation process in the company. I also congratulate everyone in the company for their work, especially in the divestment process. And now we are in a new path, and we created this new area, which is, the innovation and technology area, and always aiming for innovation and modernization. These were my initial remarks. So, now, I would turn the floor to Andrea. She's going to talk about the wonderful figures, right, just BRL5 billion in debentures, and we will then be available for the Q&A session at the end of the presentation.
Andrea Marques de Almeida: Thank you very much, Reynaldo. Good morning, everyone. I'm very happy to be here with you. And of course, to talk about our issuance, which was very successful. In the first quarter, we had just those two top parts, which was issuing BRL2.5 billion Cemig D and BRL625 million and Cemig GT. At the time, of course, we compared ourselves to our peers. And in fact, we were able to have a issuance lower than our peers and very close to the sovereignty. This is a very, very relevant, a figure for us. We were happy because the demand was huge, over 2.5 times our booking. And that's why we're able to issue the lower, one -- the one on the bottom of the page. Because of the high demand, we had an opportunity of having an additional issuance of BRL1.9 billion. It's not in this quarter. We are just posting showing it here. It happened in April. And then, we were able to reduce a little bit more the rate of the issuance. It's for seven years. So, we were able to do something even better. So, the tenure helped. So, we were able to extend our debt from 4.8 to 5.5 years. And some relevant landmarks is that we were able to maintain the AAA credit rating assigned by Fitch Ratings. And this is another debenture that is considered green and sustainable, and we are very aware about that. Now moving towards the results, and Reynaldo already, touched up on that. So, we did have a drop of 9% in our EBITDA. That was because of the effect of the price difference in the submarkets and the trading company, which had an impact of around BRL133 million. In addition, we are already expecting lower margins from the trading company. So, there was an additional drop of our EBITDA because of the margins of the trading company. And, of course, we'll start seeing that over the year. There was a nonrecurring effect from 2024, for instance, [SHBP] (ph) sale in 2024, BRL43 million. It did not happen in 2025 on the upside, and this is also very relevant in considering the efficiency that Reynaldo highlighted here, that's very important for us. We have been able to migrate. We offered it to our employees an opportunity to migrate from the PSI health care plan that this is, a change that we are working on, and it guarantees that Cemig keeps on paying the health care plan up to their retirement. And they migrated to another health care plan. We were able to migrate over 1,000 employees, and they do not have the same conditions. And with that, we were able to have a reversal of provisions of 28 million. So, over 700 employees, active employees, also migrated after those. Today, we have around 24% of all our employees still in the prior end, the old health care plan, which we call PSI. Now when we turn to our non-profit, we also had effects of equity such as Belo Monte or Alliance that was here last year, not this year anymore. And also, Belo Monte that had an effect in the submarket impact, and this is also had an increase of our debt. We have taken funds, at costs that are very competitive, and so we had an increase of financial expenses here. So, zooming in on the submarkets, and we talked about this already in the prior quarter, and we see that we start the year with no price difference. It was very close to zero. In February, there is a price difference of 35. And then, March, when we in fact have a difficult hydrological situation, drier with less rainfall, we see a mismatch in price. Therefore, the price went up to BRL272. That's a difference in the submarket price under this new model with a greater volatility. We realized that and practice, and this is what, had the greater impact. If we look at April, this price difference has already dropped around a BRL120, and we already see the difference being reduced, of course, with the improvement of the hydrological conditions. Now looking at our managerial, expenses, what was more relevant, I already talked about, which was the reversal of the post retirement provisions. Once again, we were working on the on the efficiency. Also personnel is regular, it's normal. We have the annual adjustments, and, also, we have a small reduction in expenses helping in the reduction of manageable expenses in this first quarter. This is a snapshot of our debt. Now a 100%, Real denominated that, with the average tenure of 5.5 years and a leverage of 1.4. Once again, we stress the success of the debentures issuing our rating by Fitch is AAA. We have a corporate rating by another two agencies, and those are double a plus. So, we are in a very comfortable situation to keep on investing, to keep on working on this important investment program for Cemig's growth. And sure we'll be fine in our leverage over the way. Our consolidated cash flow, we ended 2024 with BRL2.3 billion more or less. Our operating cash flow was BRL1.5. We have a little bit of the pass parcel way variation account. We also had the loans and debentures. And in the outflow, we had the payments on loans and debentures, BRL3 billion investment activity. It's very strong as you can see, BRL1.2 billion. And we have one of the debentures that we issued last year that we have already to set aside funds for that BRL5 billion already set aside to pay for those debentures, and we ended with cash at BRL4.7 billion. Now, looking at the companies, we have, as mentioned, a greater impact in the distribution company here with a tariff increase that helped us. And also, it has a good effect that this migration of, the health care plan for employments in the post retirement that had a positive effect in the net profit. We had an effect of the debt. Of course, it affected the financial expenses when we compare IPCA from, one year to another. But once again, the indicators are all within the regulatory limits at in Cemig GT, we have operating indicators. They are all within the regulatory limits, and we continue having reductions in the perceived when we look at the twelve months, rolling window of around three hours. And that is a very relevant result. In the energy market, we had a 0.3% in the build market plus a transfer to customers. And here, we have drop in the rural because there was a lot of rain. In commercial, we still see migration to DD. And of course, we also have migration to the free market, and we see the transfer of energy growing. So, these are clients from the free market that evolved. And the residential, we had a slight increase in clients. Now, for regulatory losses, they are in compliance with the limits. We are doing a very relevant work. The inspections, they are extremely important. We are replacing out dated meters, and they are being replaced by new smart meters that and that is also part of our important investment. For, GT, as I mentioned, in the beginning, we had a nonrecurring effect in 2024, which was SHBP sales, BRL43 million, more or less, and that was the main effect in this drop. And then, the net profit last year, of course, GT had the dollar denominated bonds and we no longer have that because we paid those. So, it has a lower effect and so we had lower effects with net equity, therefore or equity income. So, here we also have the effect, Alliance and Belo Monte. For Gasmig, we had a reduction of sold volume, which was the effect of the EBITDA and the net, profit and is still moving on with the investment program being very well executed, and we believe that this project will be concluded by the end of the year. Here, once again, we have a snapshot, and it's important to show you that in the quarter, we see that in fact, the greater effect was in the trading company. We see a BRL12 billion of impact in the EBITDA, and then the submarket and part of that because of the difference in margin that we are already expecting from one year to another. We had that expectation of reducing margin in the contracts, and the other segments were also having a positive result. And this is the beauty of our portfolio. It's very diversified, and it provides resiliency as Ronaldo mentioned. That's what we had to bring to you. Thank you very much for your attention. And now we turn to our Q&A.
Operator: Moving on, we will now start our Q&A session. [Operator Instructions] Our first question is from sell-side analyst, Victor Cunha from Itau BBA. Please, Victor, feel free to ask your question.
Victor Cunha: Good morning, everyone. Good morning, Carol, and thank you for this opportunity. Now my question is looking at the energy balance that the company posted, we see an increase in the short position, especially for the next years. Can you share with us what was the rationale behind this decision, especially doing a period of a pressure for energy prices considering also the recent adoption of the hybrid new wave and the new parameters for risk aversion? Can we consider a marginal cost of expansion that might be higher than what we have today? I just would like to have your understanding regarding this decision. What was the rationale behind it and the perspective, that we have looking ahead?
Carolina Senna: Thank you, Victor. Now, who is going to answer the question is our trading officer, Sergio Cabral. Please, Sergio?
Sergio Lopes Cabral: Good morning. Good morning, everyone. Good morning, Victor, and thank you for your question. Actually, we have not increased. We still have a short exposure this year because of the deliveries that have not been, carried out. For 2026 and 2027, we will maintain a short position. We should bring it over to the future a little bit more when we analyze prices, and we are already looking at a price stabilization. And as Andrea said, the end of this submarket effect, but we do not intend to increase exposure, we are trying to work with the lowest exposure possible and also observing these changes and fluctuations in price.
Victor Cunha: Thank you, Sergio.
Sergio Lopes Cabral: Victor, anything else?
Victor Cunha: No. It's very clear. Thank you.
Carolina Senna: Thank you, Sergio.
Operator: Now moving on, our next question is from sell-side analyst from Safra, Maria Carolina Carneiro.
Maria Carolina Carneiro: Hello, everyone. Good morning, and thank you for the call and for this opportunity. I have two questions. The first, on the details that you mentioned and efficiency, in this quarter, we have seen, as you said, the initial impact of the health care plan migration. In fact, can you tell us what we could what we could expect for the next quarters? And Andrea, you said that you have a new window for enrollment. I would like to understand how this is going to move forward over the year. Also, my second question on the trading company, I would like to understand if in 2025, you have been able or if you're looking for a way of mitigating the impact of the submarket. We see that there is a mismatch of prices or a detachment of prices, not with the same strength of March, but still a strong. But I would like to understand if the company is trying to mitigate these impacts for the next quarters in terms of the prices for the submarket. Thank you. To ask the question about the health care plan, Andrea Almeida, our CFO. Thanks, Andrea.
Andrea Marques de Almeida: Thank you very much for your question. What we can expect in the next quarter in terms of this migration, we have 700 employees migrating, so we will have an amount to be reduced because of this provision reversal. But this is not as significant as we saw we had a migration of 1,000 and we had 28 million in reversal. As a provision, as a whole of course, we are negotiating with our Unions in order to come to an agreement. And as this agreement is finalized, we might have it, but we don't have a final date for that. We don't know when it's going to happen, and not even the amount because it's still something we are working on that's not possible to define right now. Now already answering the other question on the trading, yes of course, we are looking at mitigation tools for the current year. And for the current year, of course, the instruments considering the price differences are very expensive. But if we have an opportunity to have clients buying in the regions where we have that production, we will be working on it. So, yes, we are always looking at it, but we have to come up to a price that is reasonable. We are also looking at the development of what is happening and also the possibility of having the energy agency being less conservative and to make a more feasible transference from the Northeast to the Southeast to the Southeast and so that we can reduce the difference between the submarkets. So, this is all part of a study that we are running in house about this issue. Thank you very much.
Carolina Senna: Thank you, Andrea for your answers. If there are no further questions, we will now end. Oh, there is another one. I'm sorry. Victor, sell-side analyst from Genial Investimentos. Please, you can open your microphone and ask your question.
Victor Borin: Good morning, everyone and thank you very much for taking my question. You can ask if someone wants to ask another question also. Well, it's now being back this in discussion in the media, the decision of CEMIG regarding Propag, and it has to do with the decision of Romeu Zema, the Minas Gerais Governor. Is there anything you knew about this topic comparing to what has already been discussed? The legislative assembly Minas Gerais has anything new. It's a feeling like things come and go and we are kind of lost regarding whatever has been discussed. What can we expect from this topic now?
Carolina Senna: I turn the floor to Reynaldo, our CEO, to answer this question.
Reynaldo Passanezi Filho: Well, Victor, I think the matter here is just the same. The government just sent a project to deal with Propag. And in this project to deal with Propag, it included some assets. Among the assets, we have CEMIG. And just like you're asking about CEMIG, COPASA is also included here. So, this is a relevant topic for Minas Gerais legislative assembly, and it has to be discussed there. So, what is new is that this topic is going to be prioritized, to be discussed at this legislative assembly.
Operator: The next question comes from the analyst [Xin Lai from Trigono] (ph). [Operator Instructions] Yes, we can hear you.
Unidentified Analyst: I would like to know if you will have any changes in the dividends policy of the company in regards to the payout. What are you considering for 2025?
Carolina Senna: Thank you, Xin. Who's going to answer your question? It's Andrea Almeida, our CFO.
Andrea Marques de Almeida: Thank you, Xin, for your question. And actually, Xin, we do not expect any changes in our dividends policy. We'll keep on paying 50% of our profits. And as you have seen in prior years when we had non-recurring effects, we were able to pay -- even if they were not generating cash, we were able to pay dividends as well. So, it is our practice. If it happens, it's also going to happen this year. But the policy is the same, 50% of net profit. And that is in our bylaws.
Operator: Thank you, Andrea. Our next question is from sell-side analyst from HSBC, Liliana Yang. Please, Liliana, you may ask your question.
Liliana Yang: Hello, and thank you for this opportunity. I would like to hear from you about the capital structure. And this has to do with what Andrea talked about related to dividends. But how do you see this indebtedness structure and capital? Because some companies in the sector are indicating that they should be more conservative considering the price volatility in the energy market. Thank you.
Operator: Thank you. And I turn the floor to our CFO, Andrea Almeida.
A - Andrea Marques de Almeida: Thank you very much for your question. I think Cemig was already being conservative. We had a low leverage. We know that leverage over the investment period was going to reach around 2.5 times net over EBITDA up to 2027. In 2028, we have the tariff review, or Cemig D that will bring us to another level. So, it's fine. Our leverage will come down then. So, we believe we have room to adjust that additional volatility that we see now. And with those prices, I believe that when compared to other companies, you are already in a more conservative situation. I'm sorry. Reynaldo wants to comment as well.
Reynaldo Passanezi Filho: Our results are of great resiliency. So, we are bringing resilient results in this quarter in spite of the volatility. And I think that we also mentioned that we aim to reduce risk exposure. So, both banks are moving towards keeping the dividends distribution policy and not changing our investment plan. Either we will keep on working with our investment plan as well as our dividends distribution policy on the same terms and dates. I see the last question here, the same periods of time that the company already does. We'll keep on following that. Thank you very much.
Operator: Thank you, Reynaldo. If there are further questions, please feel free to ask them. Please write your name in our Q&A icon. Since there are no further questions, we end here our Q&A session. Thank you very much for participating in the first quarter 2025 videoconference call. There is another one, it looks like it. It looks like his was not answered, Antonio Alex. The IR Superintendent is available to answer any other questions you might have. Thank you all very much, and have a nice day. If you have additional questions, Amelia and our website is available to get your questions, and we will be answering them. Thank you all very much, and have a nice day.